Operator: Good morning, ladies and gentlemen, and welcome to the Lumber Liquidators First Quarter 2021 Earnings Conference Call. As a reminder, this conference is being recorded and may not be reproduced in full or in part without permission from the Company. I would now like to turn the conference over to Julie MacMedan. Please go ahead.
Julie MacMedan: Thank you, operator. Good morning, everyone, and thank you for joining us. Today, I am joined by Charles Tyson, our President and Chief Executive Officer; and Nancy Walsh, our Chief Financial Officer. As we begin, let me reference the safe harbor provisions of the U.S. securities laws for forward-looking statements. This conference call may contain forward-looking statements that are subject to significant risks and uncertainties, including the future operating and financial performance of LL Flooring. Although LL Flooring believes that the expectations reflected in its forward-looking statements are reasonable, it can give no assurance that such expectations or any of its forward-looking statements will prove to be correct.
Charles Tyson: Thank you, Julie. Good morning, everyone. On today's call, I will review our first quarter highlights and our progress towards realizing our vision to be the customer's first choice in hard surface flooring by providing the best experience from start to finish. First, I want to thank all of our associates for driving our growth and profitability strategies forward and providing a superior experience to our customers during the quarter. Turning to our positive results in the quarter, we delivered a 6.9% increase in comp sales, which was driven by continued execution on our transformation initiatives, strong demand from home improvement projects, and accelerating year-over-year growth in our installation business as well as the impact from the onset of COVID-19 shutdowns in March of 2020. During the first quarter, a big winter sale event directly overlapped severe winter weather in February and compared unfavorably to our successful winter sale event in the first quarter of 2020. In addition, last year, we had one more day in the first quarter for leap year, during which we also benefited from a successful sales event. We feel good about the underlying demand in our business and the traction we are seeing in our initiatives, which we believe is not fully reflected in our first quarter comparable sales. Our teams delivered outstanding profitability improvement. We reported operating income of $13.1 million, up from $8.8 million in the first quarter of 2020. On an adjusted basis, operating income increased $5 million to $14.4 million in the first quarter of 2021 or 5.1% of net sales versus 3.6% of net sales in the first quarter of 2020. The higher profitability reflects continued good work from our merchant and sourcing teams and disciplined expense management across our organization.
Nancy Walsh: Thanks, Charles, and good morning, everyone. In the first quarter, net sales of $283.5 million increased $16.1 million or 6% versus the first quarter of 2020 due to a 4.7% increase in net merchandise sales and a 16.8% increase in net service sales, which reflected accelerating year-over-year installation sales growth. We saw a 4.4% increase in our average ticket, due primarily to a higher merchandise average ticket and a 2.5% increase in transaction count compared to the same period in 2020. As Charles noted, first quarter 2021 comparable store sales increased 6.9% versus the first quarter of 2020. In addition to what Charles shared about the impact of COVID-19 in our 2021 winter sales event compared to the sales events during the first quarter of 2020, we also estimate that inventory constraints from supply chain disruptions represented a potential $8 million to $9 million in lost sales during the first quarter of 2021. This was a similar impact to what we experienced during the fourth quarter of 2020. Turning now to gross profit, gross profit increased 10.1% in the first quarter of 2021 to $116 million from $105 million in the comparable period of 2020. Gross margin of 40.8% in the first quarter of 2021 compared to 39.3% in the first quarter of 2020. During the first quarter of 2021, gross margin included a $6.6 million benefit from antidumping duty rate changes associated with applicable prior year shipments of engineered hardwood from China. The first quarter of 2020 did not contain a comparable item. When excluding this item from 2021, adjusted gross profit for the quarter was $109 million compared to $105 million in the prior year, and adjusted gross margin was 38.5% compared to 39.3% in the prior year. Despite the reinstatement of tariffs in August of last year on certain flooring products imported from China, the year-over-year decrease in adjusted gross margin was only 80 basis points, primarily due to solid execution on our mitigation strategies. SG&A expense for the first quarter was $102.5 million or 36.2% of sales, up 20 basis points compared to $96.2 million or 36% of sales in the first quarter of 2020. SG&A in both quarters included certain costs related to legal matters. In April 2021, we settled two employment litigation matters. And as a result, during the first quarter, we accrued a $7.7 million liability with SG&A for these litigation matters. When excluding these items from both periods, adjusted SG&A expense for the quarter was $94.7 million, $700,000 lower than the $95.4 million in the first quarter of 2020. As a percent of sales, adjusted SG&A improved 230 basis points to 33.4% of sales from 35.7% of sales in the first quarter of 2020. For the quarter, we delivered operating income of $13.1 million compared to $8.8 million in the first quarter of 2020. Adjusted operating income in the first quarter of 2021 was $14.4 million, up $4.8 million from $9.6 million for the prior year period. And adjusted operating margin for the first quarter of 2021 was 5.1%, up 150 basis points from 3.6% in the first quarter of 2020. The higher operating income and margin reflect good progress on our profit improvement initiatives with our merchant and sourcing teams implementing strategies to mitigate tariffs, our marketing teams deploying more efficient and effective digital marketing spend, and our overall organization driving disciplined expense management. In the first quarter of 2021, we had other income of $800,000 compared to other expense of $900,000 and for the three months ended March 31, 2020. Both years included interest on borrowings under our credit agreement. The interest expense on borrowings in 2021 was offset by a favorable adjustment of $1.8 million with the reversal of interest expense associated with antidumping duty rate changes. This reversal was excluded from adjusted earnings. In the first quarter of 2021, we recognized income tax expense of $3.3 million or an effective tax rate of 23.4% compared to an income tax benefit of $4.4 million or an effective tax rate of negative 55.2% for the first quarter of 2020. The benefit in 2020 was driven by a $4.7 million benefit related to the provisions of the CARES Act. For the first quarter of 2021, net income decreased by $1.6 million to $10.6 million compared to net income of $12.2 million for the first quarter of 2020. Adjusted earnings for the first quarter of 2021 were $10.2 million compared to adjusted earnings of $12.8 million for the first quarter of 2020, reflecting the income tax benefit in 2020. Finally, earnings per diluted share was $0.36 for the quarter versus earnings per diluted share of $0.42 in the year ago quarter. On an adjusted basis, first quarter earnings per diluted share of $0.34 compared to adjusted earnings of $0.44 for the first quarter of 2020, reflecting the income tax benefit in 2020. Turning to the balance sheet. Inventory at the end of the first quarter was $225 million compared to $244 million at the end of December and $270 million at the end of March 2020. The 16% year-over-year reduction in inventory was primarily driven by managing our inventory purchases as a direct result of COVID-19, followed by supply chain constraints on replenishment and strong sales that kept inventory below our targeted level. Our balance sheet and liquidity are strong. We ended the quarter with cash and cash equivalents of $209 million, up $186 million from a year ago and up $39 million from December 2020. Net cash provided by operating activities was $45 million for the first quarter of 2021 compared to $36 million in the first quarter of 2020. The increase was driven by our disciplined working capital management program, and we have not yet been able to replenish inventory to optimal levels due to continued supply chain constraints, which also contributed to our above-average customer deposits and accounts payable during the first quarter of 2021. These working capital factors favorably impacted our cash flow from operations in the first quarter of 2021. As of March 31, 2021, we had $240 million in liquidity, comprised of $209 million of cash and cash equivalents and $31 million of excess availability under the credit agreement. This represents an increase in liquidity of $109 million from March 31, 2020. At quarter end, we had $101 million in outstanding debt under our credit agreement, and this amount is unchanged since we announced our ABL amendment in April 2020. On April 30, we entered into a second amendment to our credit agreement. We were pleased to reduce our interest expense and fees, extend our maturity date and increase our financial flexibility. The total size of the credit agreement remained at $200 million as we converted $25 million in FILO to the revolving credit facility, and we still have an option to increase that to a maximum total amount of $250 million. The maturity date of the credit agreement was extended to April 30, 2026. We decreased the margin for LIBOR rate loans by 125 basis points over the applicable LIBOR rate, reduced the LIBOR floor from 1% to 0.25%, and decreased the unused commitment fee by 25 basis points per annum. Except as set forth in the second amendment, all other terms and conditions of the credit agreement remain in place. We are monitoring the current macroeconomic conditions and the impact of COVID-19, especially as vaccine administration continues, and we are considering the timing of repayment of some or all of our debt balance, perhaps as soon as the end of the second quarter of 2021. Turning now to the remainder of 2021. Our team remains dedicated to our transformation, driving growth and improving profitability. I would like to expand on some of the details that Charles touched on at a high level. During the first quarter, we opened three new stores. In January, we opened our Fort Smith, Arkansas store, which is a new market for us. And in March, we opened a new store in Rochester, New York and Franklin, Tennessee, representing expansion of existing markets. The new stores have the LL Flooring branding, and we are excited about the opportunities to drive additional sales and profitability growth through these new locations. We expect installation sales to return to a pre-COVID mix in 2021 as we execute our initiatives to attract more customers and as our customers are more comfortable having people enter their homes. This will benefit gross margin dollars, but lower the gross margin rate. With respect to SG&A, we plan to continue our expense management efforts and to invest behind our growth initiatives, including new technology and store service levels to improve the customer experience as well as opening new stores. With respect to cash flow, given continued supply chain disruptions, we do not have full visibility into how soon we can increase our inventories to optimal levels, which could also continue to keep our customer deposits above historical levels. In 2021, we still expect CapEx investments of approximately $24 million to $28 million as our overall business results support the broad-scale rebranding of our store fleet, the opening of 12 to 15 new stores, and investments in digital. In summary, we delivered strong sales growth and profitability in the first quarter. Our entire organization remains focused on continuing to execute our transformation initiatives to drive growth and profitability in 2021 and beyond. And our strong balance sheet and liquidity provide us with the financial flexibility to fund our growth initiatives and position LL Flooring for long-term success. Thank you all for your time this morning. With that, I'll ask the moderator to open the call for questions.
Operator:  Our first question is from Laura Champine with Loop Capital Markets. Please proceed with your question.
Laura Champine: It's on the supply chain issues that impacted sales and inventory in the quarter. Do you expect or when do you expect to see a resolution there? What is the resolution? And how are the sourcing issues impacting your approach to marketing?
Charles Tyson: Laura, thanks for the question. Yes, so I think you really got three different things in that question. First of all, understanding our supply chain constraints are really two issues. One is the well-known international constraint around container availability that's coming out of Asia specifically, and there likely will be some continued delays also that the new Suez issue has created. And we see, as others have reported supply chain environment continuing to be volatile, and we expect that constraint to continue certainly through Q2. Our current view is an improvement through the back half of the year. But I do want to qualify, we're really looking at this week-on-week as we work with carriers on availability. The second constraint is North American based, and that's just in lumber availability. We see sawmill output on hardwood lumber still running at about 80% of capacity from pre-COVID, and that certainly has curtailed the amount of availability through the domestic wood production. So two different issues that we're working. I think you're asking, how are we managing through that in North America? We're working strategically with our vendors from, obviously, a planning perspective and we brought on a couple of new vendors to help. And we're actually pleased with our productivity on a solid wood domestic program that we produced in the quarter. So I think as we -- the lost sales that we think in first quarter was in the range of $8 million to $9 million, we continue to see constraints in the second quarter, and our current view is improving through the back half of the year.
Laura Champine: Got it. And then any impact that has on your marketing spend?
Charles Tyson: Yes. So, we've been optimizing our marketing spend over the last 12 months as we've moved more into the digital environment. Clearly, we're going through a rebranding with LL Flooring that we're really excited about and getting great feedback from our customers. So we think that we have our marketing spend optimized at the right levels going forward.
Operator: And our next question is from Brian Nagel with Oppenheimer. Please proceed with your question.
Brian Nagel: So a couple of questions, if I could. First off, I know you discussed your results extensively in the prepared comments, but just help me understand better. If we look at the moderation in top line expansion in Q1 versus what we saw in the Q4, Q3 of last year and on one-year basis or multiyear basis, how -- what's really -- which were the key reasons behind that?
Charles Tyson: Yes, Brian, good to talk here. So as we look at the sequential move from Q4 to Q1, overall, we're very positive on the outputs that we're seeing from the investments that we've put into our initiatives, particularly with installation, which you see our service numbers were very strong for the quarter and those improved sequentially from Q4 into Q1. And we're also pleased with the underlying progress that we're making on our Pro, particularly around our TSR program and two very important new initiatives that we launched in the quarter, which is Everyday Pro pricing, which we -- the feedback from Pros, it makes it easier for us to do business with, as well as a Pro Portal that allows them to remotely work with us and allows them to be much more efficient. With that said, there were a couple of events in the quarter. The leap year day was a big sales event for us a year ago and impacted the comparable comps. And then our largest sales event was planned in February, right in the middle of when we had that major weather outlook, and it wasn't just in Texas or other parts of the country that, that had an impact and then obviously, inventory impacts flowing forward. So, there were a couple of events that we're unanniversaried from the year before that impacted the impact of the comps in the quarter. I will say that we -- as you look at our strong customer deposits, which continue to build in the quarter, and the strong assessment demand that we're seeing in install, we believe on the demand side from the consumer that the home improvement appetite continues to be strong in the marketplace. And so overall, we're positive on the quarter as we think about the longer-term work that we're doing on that transformation.
Brian Nagel: Got it. That's very helpful. Then the second question I have with respect to tariffs, you talked about the tariffs impacting gross margins here in Q1 and disrupting the trend. How -- and again, I recognize you're not giving official guidance for the balance of the year, but how should we think about just the impacts of tariffs as we look through the balance for 2021?
Charles Tyson: Yes. So a couple of things, maybe I'll have Nancy comment. We anniversary those come the August time frame, and we've really been working diligently on both our alternative country sourcing and new pricing practice that really looks strategically than the Company has done historically at how we price to market. So I think the merchant teams have done a great job and the sourcing teams have done a great job. And you can see some of that in our percent of revenue that we're shipping out of China. And so we will continue to work those issues as we work through the balance of this year, and I'm pleased with the work and the performance that the teams are delivering there. And you can see some of that in our first quarter margin performance. But I'll ask Nancy if she wants to just chime in.
Nancy Walsh: So I will add just a few points. As we mentioned, our gross margin was only down 80 basis points, and we were partially offsetting the reinstatement of tariffs through pricing and promotion strategies, primarily and to a lesser extent, alternative country sourcing. We're expecting the gross margin pressure from higher transportation and some of the raw material costs that Charles just talked about. And we're planning to continue to leverage those through the same strategies as we have been doing currently. I will also point out that we showed in the Q that the percent of goods sourced from China was only 23% in Q1, and that will fluctuate from quarter-to-quarter based on how we're balancing, diversifying, moving away from China for our sourcing and optimizing the flexibility to navigate the supply chain disruptions as well as watch the trade negotiations that are taking place in Washington.
Operator: Our next question is from Seth Basham with Wedbush Securities. Please proceed with your question.
Seth Basham: My first question is whether you can assess what the underlying demand or comp trend is right now relative to, say, 2019 and how you expect that to progress going forward?
Charles Tyson: Seth, I'm not going to speak specifically to how we are going to project going forward. We don't do that. But as I said on the previous question, we see, at least today, good continued strength and appetite for consumers on home improvement and the willingness to even a constrained inventory environment taking longer to fill their orders. Fortunately, we have good visibility through our supply chain, so we can tell customers when product is going to be available. And so we feel good about the strength of customer deposits. And with that being said, what we don't know is as the economy opens up, as customers start to do things like vacationing or going back into the workforce, buying clothing, is there an impact on an appetite to do home improvement projects. We think based on the housing market interest rates that this is going to continue through at least the back half of of this year. But again, we're cautiously watching how the consumer is going to react as we move through higher vaccination levels and folks changing after being in their homes for over a year.
Seth Basham: Got it. Okay. And my second question is around gross margins. Lots of moving pieces here, but trying to think about how much pressure you guys might expect in the back half of the year everything from the high transportation, marginal inflation offset by pricing, et cetera, installation sales mix, pro sales mix, any product category sales mix. Can you help us put those things together and think about how gross margins might trend?
Nancy Walsh: Again, I'm not going to speak so much to the trending other than to say we're continuing to expect pressure on the gross margin from everything that you've been hearing in the marketplace, which is pretty much impacting all industries and all companies, both the higher transportation costs and the raw material costs. And we're planning to leverage those through the same pricing and promotion strategies that we've been using, and as we continue the flexibility of sourcing our goods. There really is a lot of volatility out there. So it's very hard to factor in when that is going to abate. And as Charles talked about, what's going to happen with the demand afterwards. In terms of our services margin, you'll remember Q2 and Q3 of last year, we had talked about when COVID began that we had offered promotional pricing for delivery that made it easier for customers during the COVID crisis to be able to still shop with us. In January of this year, we increased the delivery prices, but they still remained below pre-COVID levels. So you will see a slight difference in terms of the service margin as you're looking through Q. I've forgotten what the rest of the questions are, if Charles wanted to add anything else. But I think that gives you a little bit of a picture. It's pretty much we're considering more of a universal issue, and we'll see how things turn out.
Charles Tyson: So Seth, I would say a couple of things. With the strong demand in the marketplace for home improvement, unlike the lumber business, I think when you look at the cost per square foot on the inflation side, which is your question. We see the opportunity from a pricing perspective to help augment that margin headwind. And I think on a cost per project basis, that elasticity is not impacted that much by the amount of cost increases that consumer is going to face across all of the flooring categories with the inflation flowing through. And the same thing with transportation, we've been working on that for over six months in terms of offsetting that inflationary impact. On Pro, we've been working on our Pro pricing for over a year, moving to Everyday Pro pricing is really a very strong critical component of our value proposition, and we've built that into our plans as we went into 2021.
Seth Basham: All right. Really helpful color. Just last follow-up to make sure I understand the dynamic here around pricing. Do you feel like your pricing is as competitive or more competitive in the marketplace than it was a year ago? And is there an opportunity given this really strong demand environment, to take additional price to offset most of the gross margin headwind going forward?
Charles Tyson: Yes. So what I would say, Seth, is that we use new pricing tools to look competitively across the country, to look at how we believe we should be priced from a competitive standpoint. And we're very happy with our price positioning as a market leader in the hard surface flooring space. So that, I believe, the teams are doing a good job both on the inflationary side, as I just spoke to, but also making sure that we're very competitive, particularly in Pro where we're pleased to be working our TSR program, and we're getting good positive feedback, both on the Pro pricing and the web poll that we launched. So we're really excited about that work that the team are doing.
Operator:  Our next question is from Peter Keith with Piper Sandler. Please proceed with your question.
Bobby Friedner: It's Bobby Friedner on for Peter. First, I want to ask around gross sales, sort of flat year-over-year for the second straight quarter. What do you think hold in that growth here? Certainly seems like Pro customer sales in the industry are very strong. It's not accelerating as consumers are -- goes back in their home. And as we look forward, with improvements you're making around your Pro online experience and customer service, do you think you're now in a position to start taking more share?
Charles Tyson: Yes. Thanks for the question. Yes. So we've said that our Pro journey is a longer-term relationship play and that, frankly, just because we show up, it doesn't mean the pros will automatically change their buying behaviors. We have to earn those behaviors and change in behaviors. And this TSR program that our Pro teams are working, we talked about change in quality that we're seeing through that work. Now there's some headwind in public spaces and there's -- particularly in things like retail, where those flooring projects are just not in the market. And we're even seeing in a small builder segment, builders delaying because of the overall cost of projects and pushing those projects out. So, there's some overall noise in the segments, but we're comfortable that the work the teams are doing to create the relationships with those pros who value what it is we do between our expertise, a high level of in-stock quality, trend-right assortment and our teams changing culturally on how to build Pro relationships moving from more of a DIY-centric model. So, the answer to your question is I'm comfortable with the work the team is doing. We're happy with the outcomes we're seeing on Pro relationships. And we only just launched this quarter two very important components of our Pro value proposition. As you know, pros want pricing every day to be firm so that they can effectively quote their jobs to their customers and don't have to wait for us to decide to put something on sale to make it relevant to them. So we feel very positive at our pro future.
Bobby Friedner: Thanks Charles, and just one more. Could you discuss some of the main trends you're seeing from a mix standpoint? Is there any evidence that with a strong housing backdrop and U.S. consumer that consumers are opting for higher ASP product now?
Charles Tyson: Yes. So that's a great question. I would say, from an overall mix perspective, when we think about labor in our business as well as product, we feel really good about our Installation business and the demand that we're seeing for strong assessments. So customers clearly open to letting people back in their home. I think as we've evolved and upgraded our assortment, our teams have done fantastic work and solid domestic wood business and the engineered wood business. Yes, the change in styles, absolutely, we're seeing a better and best products driving our demand. And again, we're highly competitive against many of the independent space, so extra wide boards extra performance in the laminate category from a water-resistant perspective. And obviously, vinyl, the trend-right assortment that we have today and the breadth of that assortment playing into our premium segment is really helping us effectively drive the business. So I think customers absolutely are taking the time to look at what that finished product is going to look like. And on a cost per square foot basis, we're so competitive in the premium segment, we're happy with the returns that we're seeing there.
Operator: We have reached the end of the question-and-answer session, and I'll now turn the call over to Charles Tyson for closing remarks.
Charles Tyson: Thank you very much, operator. We'd just like to, first of all, again, thank all of our team members for all of their support and hard work in executing our transformation strategy in the quarter. We'd also like to thank the support from all our vendors, particularly in this supply chain constrained environment where they're really working hard every day to meet the expectations of our customer. We're very happy with our first quarter performance, and we look forward to talking to you all again at the end of second quarter. Thank you.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.